Executives: Svein Brandtzaeg – President & CEO Jørgen Arentz Rostrup – CFO 
Operator: Welcome to presentation of first quarter results for Hydro today. They will be presented as usual by Svein Richard Brandtzæg, CEO and CFO Jørgen Arentz Rostrup and we will have time as usual for Q&A afterwards. So please Svein Richard?
Svein Richard Brandtzæg: Thank you. The first quarter of 2012 started out with a higher demand at the end of 2011 but we got on what we saw in the first quarter of last year. We see geographic differences and this is reflecting a multi speed global economy. The situation in Europe is very much influenced by the weak demand in Southern Europe where we see a weak underlying demand in several market segments. I am happy to confirm that we stabilized production in our strategic important assets in Brazil at higher levels and the curtailment is running full speed at the level of 600,000 tones annual capacity which is about name plate capacity. If you look at result, $557 million is about 50% of the result in the previous quarter influenced by lower aluminum prices and lower alumina prices. The higher demand in the end user markets created a higher demand for metal so the metal sales has increased but alumina sales is lower due to a timing of shipments and also reduction of third party sales. We have very strong result in energy with record high production. If we take a look at different market segments and compare with the fourth quarter last year we had the improvement of 7% in total with the sales in all products and exclusion. In all products very good development in several market segments, especially in general engineering where we saw a destocking in the previous quarter that has now ended, good development in Litho and Foil. In Extrusion we had good development in Europe in the U.S. South America market and also in position to bring birth in building system then the development is reflecting the very weak situation in Southern Europe. This is a high margin market and influence of course the top result in extrusion. In total we saw 6% improvement in Rolled products and 10% improvement in the quarter in Extruded products. If we then compare with the first quarter last year, it is a reduction of 6% and there we saw in different market segments in Rolled products significant weaker demand compared to the previous year in several areas except Can and Litho. In Extrusion we saw in fact positive development in Americas which is very much the situation in North America which is now picking up demand and which goes in the positive direction while we are still struggling as I mentioned in the building system market. There are two factors that we should be in mind here, first of all that the first half year, last year and especially the first quarter was very strong. The first quarter last year was more than a seasonal strong quarter. It was also a rebound effect in that quarter and this last half year in 2011 was very weak half year, weaker than the normal seasonal variation. In 2012 we expect that we have a more normal situation in the second half. If we look at aluminum prices, we've seen development from around $2,000 to around $2,140 in the end of the quarter, average $2,216. If you look at realized prices, which was the aluminum prices that was done in the three to four months' time tag, we realized $2,155 per ton as average price or the market price in the first quarter. In the fourth quarter last year we realized $2,439.00 per ton as the price. If you look at the general price level here, this is not at adequate I would say. The price level is too low to give adequate return for aluminum in this day. So we are now doing what we can influence on our self. We've got improvement programs. I will come back to that later in my presentation. If we look at the supply demand balance, we see improvements since the weak fourth quarter last time. At the same time there has been curtailments. In total there are about 1 million tons of capacity that has been announced to be curtailed. So that is a reason for bit lower production in the quarter. So it is a bit tight to balance this quarter than the previous quarter but it is still overproduction in the aluminum industry today. So we expect that the growth will continue during the year and create a tighter balance in the end of the year but the high production still creates an issue with regard to buildup of inventories. If you look at different regions, we expect this year that Europe will have zero growth, 5% in the U.S. and 4% in other markets outside China. There are questions about the growth in China but we maintain 9% growth in China this year. We have previously communicated 3% to 5% growth outside China. We are now estimating that growth is closer to 3% and the global growth including China, we estimate to be close to 5%. There are of course uncertainties with regard to this number but we are now a bit more conservative with regard to the growth in the areas outside China therefore we will communicate expected 3% in 2012. Inventories are increasing with 200,000 tons in the quarter due to the higher production and demand. They (inaudible) is still positive which from the low interest rate level we see and all the warehousing cost means that the positions are all forward and there are investors that still make profit from rolling forward inventories but if you look at ingot premiums we see especially in Japan and U.S. that has been positive development which again shows that the metal volumes are not available in the physical market. So there is a tight physical market in spite of a very high inventory level. If you look at aluminum price, it has been quite stable in U.S. dollars during the quarter trading at $325 to $330 per ton. Due to the lower and weakening LME (ph) the alumina price in percentage of LME has increased during the quarter. The development in the market of alumina, we follow carefully of course these days, we expect it to become a bit softer as the capacity in primary metals is going to be curtailed if 1 million tons is going to curtailed this year as it has been announced, we expect that there will be also influence on the capacity on aluminum and we expect that could be alumina capacity be taken out this year as a consequence of the situation. If we then go to China and take a look at import and export balance we still significant important (inaudible) to China. So all in all China is a net import of aluminum units. It is quite stable and balanced on primary metal but on alumina we have seen quite a significant increase in import to China. This is helping the alumina market of course. I'm not going to say that this is a new trend for China. It is too early to say but China is obviously dependent on imports of raw materials to keep up the high production capacity that they are currently running and they aim at least short term to be balanced in supply demand in aluminum of primary metals. The export of semis has been lower in the first quarter which is line with previous first quarters in previous years and can be described to the Chinese New Year and we expect that this could be changed and picked up to higher levels in the coming quarters. We have communicated previously that the residual metal challenge in the aluminum industry and this slide show the development of LME from first quarter 2010 to first quarter 2011 and also to first quarter 2012. And also then compare the development of LME with the development of prices of petrol, coke which is very important raw material for the aluminum industry and also the caustic soda price which is important for the alumina refineries. So from 2010 through 2011 first quarter to price on LME increased 15%. But we had 84% increase in price of petrol, coke which goes to annuls for aluminum production and 87% increase in caustic soda price for alumina production. That creates of course a squeeze in the aluminum industry. If you look at the first quarter 2012, its 1% higher than the first quarter of 2010 but we had 67% higher petrol coke price and 27% increase in caustic soda price. This price level of raw materials is not sustainable for the aluminum industry. It is several of smelters and also no alumina refiners that are not making money at these levels and this is subscribed to the fact that there has been a growth in aluminum that has grown faster than the growth in raw materials. But also that the growth in aluminum has been compensated by also higher capacity and two high capacity aluminum, while a capacity in raw material development has not been following the same. So we have definitely raw material increase in this industry. When we take a look at book at alumina, I mentioned, I am very happy that we had this stable and high production in our books and facilities in Brazil. Alumina is running at high level and the same with (inaudible). We have lower sales volumes due to the fact that diverse of shipments that are now sold off for the first quarter that was on the limit but also the agreed third party sales has been reduced in the quarter. We of course also in Qatalum running at cost reduction efforts as we do in all other parts of the value chain and we decided in the clock that we postponed the capital project which we still regard as one of the most attractive alumina projects in the world but we still that the capacity is still sufficient for a while and we will still evaluate the development at alumina market before we make a decision to restart the capital project that is still seen as very attractive. In primary metal I am happy to confirm that we continue the $300 program according to plan. We are going to add another $35 per ton cost cutting and in this program in 2012 and this is a program for the whole year on smelters. We have now a cash cost of $1,900 per ton. It went on $100 due to lower alumina price from the fourth quarter last year to the first quarter this year. So this is a very important program to reposition here on the cost curve and of course Qatalum comes on top of that, which will be among the most cost efficient smelters in world. So this is an effort that will continue and we have said previously that aim to finish the $300 program in the end of next year. In Qatalum, as I mentioned, we have full speed producing at annual rate of 600,000 pounds per year which is above nameplate capacity. We are very good at performance but as I and we communicated previously, we had the file in water cooling tower in Qatalum which means that we had to stop the steam turbines. They are dependent on the cooling tower. The steam turbines theme self are not affected and of course the guest turbines are run smoothly and are delivering power to the plant and we are also now sourcing some additional power from the grid. That means that while we are building up the new cooling tower, we have somewhat higher energy costs because we are sourcing from the grid. But as I mentioned, we are running four gas turbines full speed and production has not been affected by this. The production of aluminum is running as it should be. So this is again incident, There are no accidents or no injuries connected to that but that is no cooling to what this is going to be rebuilt and in someone’s time steam turbines will be back in production. In energy, we started with 25 kilowatt-hour in the beginning of the year. It was the price almost doubled in the Norweg market in February when the temperature went down and then it was milder than the price went down to close to 20, this is also affected by the very high rest of our level. It is above, it was significantly above last year’s decibel level going from 80% on 50% to 60% in the end of the quarter which is now about 13% above normal level. (Inaudible) levels is very much the same as the average level for Southern Norway, we expect their production to be very high in the second quarter also due to the fact that we are going to have some maintenance work in the Luanda during the third quarter so we will have a very high production in the second quarter but probably not SIS it was in the first quarter. We have also communicated previously that we have some upgrades and also some additional capacity that we are building up in energy and we finished the (inaudible) project which is 84 gigawatt hour that was stopped at 1st of April, it was a project that was run according to budget and according to the time and this is now adding to the total capacity. So we have no all in all about 9.5 terawatt hour in a normal year as a capacity of energy production in the company. Due to the situation in this industry we continue, there were efforts along the whole value I already mentioned that we are stabilizing production in Brazil at higher levels also focusing on cost reduction and optimizing the production in Brazil and we are also targeting index pricing in of aluminum in this market. In power metal we have already discussed that we ended all the program, we are focusing on stabilizing and optimizing production in Qatalum and taking the cash cost down to the level where we are aiming for. In all products we continue with the climb (ph) 10 program which is cost reduction program and also program we are high grading and optimizing the product mix between the rolling middles in the systems. In excluded products we have restructuring of program, we have a cost-cutting program in building system, we are progressing according to the where we are reducing the cost at 40 million euro which is adapting also today challenges, situation and building and construction markets especially in Southern Europe and also extrusion in Germany (ph) and Europe you are adapting to the situation. All in all and here though we focus on cash flow, focus on keeping the CapEx down and also the working capital down and of course as this market is imposing challenges to Hydro I feel confident that we are able to adapt to the situation and to influence what we can influence on to create better position for Hydro going forward. Thank you for your attention.
Jørgen Arentz Rostrup:  And I will take you through some of our financial numbers in a format that most of you know are quite familiar with. Underlying EBIT as Svein (ph) said came in 557 in the quarter that is approximately 50% or 576 million down from the 1.1 in Q1. Aluminum and Alumina (ph) prices somewhat compensated by higher volume in primary metal and downward in the value chain will get back to that later of course. Just a comment on Hydro elimination, we have this quarter at charge of 137 compared to positive contribution of 92 million in the previous quarter a change of 229.
 : On variable cost, Svein touched on that, we have a net effect of 0.1 billion more than this effect comes from alumina. We see a slight effect from Pet Coke this quarter, you saw the price development that Svein commented on but we still have old Pet Coke inventory priced on the 2011 prices used in first quarter so we will get a more significant effect in second quarter we assume. And Alumi (ph) in dollar terms was down 15% and this is the major part of the 0.9 and negative development quarter-on-quarter the prices and currencies and obviously the key impact on the quarter. If we look at key financials, we have revenues fairly flat quarter-on-quarter but obviously within this number prices tend down and volume up, underlying every test we have said 557 and then we have excluded positive elements this quarter off of 108 million versus 1.5 negative effects in Q4. So reported EBIT is at 665 million for the quarter. If we look at financial expenses they are income this quarter due to currency gains of 410 million due to depreciating dollar versus Norwegian Kroner and Brazilian reals. So the financial income then is at 433 for the quarter. This gives income before tax of 1.1 billion and tax expense of 513 billion which is at a high level and if you look at even on adjusted level it is in the mid-40 percentage range which is a signal that most of our taxable income comes from the surtax or the power regime and that the surtax regime more than the power. We have included a tax financial expense slide for you in the material but you have seen it before and I will skip it down. If we briefly touch at items excluded in the quarter as we have said we have excluded positive elements of 108 million versus negative 1.8 billion previous quarter. The three top elements on this slide is all driven by commodity prices and the key development is slight increase in LME (ph) through the quarter thereby leading to a net unrealized gain effect of 250 million. Then the other way goes rationally chasing charges of 132 million which consist of two elements, one is 112 million on the current production line one restructuring closure, and that program is completed now and this is the charge for that. Then on top of that is 20 million from the continued program that we have talked about within building system in particular in Southern Europe. We don’t anticipate in the program that we have launched, significant new charges going forward. It might be a few dollar in the second quarter but not much and then we have impairment charges on the right dongle (ph) to cooling tower in Qatalum so this is at least a part of it due to the cooling tower incident that Svein talked about that’s 38 million. Then moving to our operating business overview, we have an EBITDA at some 330 million on Alumina half of the level in Q4. Underlying EBIT is negative 144 a decrease of 300 million quarter-on-quarter. As Svein said production at Mineração Paragominas is stable around a yearly production level of 9 million tons and 6 million tons respectively. Sales are somewhat down again the reason where partly timing issues loading it out of (inaudible) and also the exit of couple of external third party contracts. Part of the significant part of the reduction in earnings this quarter on top of the volume is of course unrelated to prices. Prices are down in the order of $13 per ton but then also bear in mind that Q4, 2011 was the last quarter of the hedge that we entered into when we acquired assets in Brazil. That gave a positive effect in Q4 of close to 100 million Norwegian Kroner and that hedge is now terminated and has the impact then on the lower return in the quarter. I think also we have commented on slightly increase in cash cost, $8 per ton in the cost level. Going forward again, optimizing production, fine tuning it and continuing above the 6 million and 9 million ton levels is important and as Svein said equally important is to then work on the cost position and put more priority on that, that is nothing you will see as major impact quarter-on-quarter so that is obviously a longer exercise, then we are assuming more stable raw material cost for the quarter. Primary metal EBITDA of just south of 600 million underlying EBIT of 30 million down by some 450 million from last quarter. Prizes and premiums in primary metal has a negative effect of 700 million in the quarter. So that is then more than explaining the deviation in quarter-on-quarter. Then going the other way is increased sales volumes, production in the primary metal system was somewhat down but we have had higher utilization of our cost, our system in the quarter and thereby have increased sales in the quarter also taken down inventories, that gives a positive effect of 70 million and then we have the 0.2 billion in raw materials predominantly alumina. We have sold for second quarter approximately 80% of our production excluding Qatalum at 2200 per ton so then only marginally above the prices that we saw in first quarter. And then we expect as I said some more relief on the petroleum coke side since we are now changing to the inventories that we have newly acquired at lower global prices for Pet Coke. Svein mentioned a fire in the cooling tower, we will buy some more power and also gas from the local utility in Qatar our primary smelter production is not affected but due to buying this gas and power cost will increase somewhat in the next few quarters. This is obviously an insurance case, and whatever incidences there will be something we have to pay ourselves, there will be some cost incurred in our hand and then we still believe we have good and sufficient insurance backing on that smelter. When it comes to the old incident with the power outage I don’t have an update for you on that on the insurance side on that, as you know we have proceeds of $150 million in total. We feel confident that our previous guiding to you is still very valid and we are awaiting a final conclusion of that case shortly. We have this quarter included some additional reporting on Qatalum, as we have talked about this we wanted to do when we were up in full production and that happened last quarter and therefore it's natural for us to present this for you now. This table is showing then 50% of the earnings in Qatalum so Hydro share. We have underlying EBITDA of 226 million in the quarter and then we have a depreciation level of 240 million and you arrive at those 240 by taking the CapEx number of $5.8 billion which it could be translated to 33 billion – 34 billion Norwegian Kroner and then we have said that there is an plus minus 18 years of depreciation time or life depreciation time on these assets on average. This gives just short of 2 billion in depreciation per year, which again then is less than 0.5 billion on a 100% basis per quarter and then our share is 240 million of that. And we have also said that sales south of Qatalum is on M minus 1 basis, when you are looking into our numbers and doing your calculation which I assume you will then you should probably more use price that is closure to an M minus 2 because we have inventory delays or inventory effects on the metal going out before it hits our profit and loss. So that is probably a better price for you to use and then I will tell you that will obviously vary a little bit. Also the cost development you know we should be prepared this as we have said a plant that we are now are stabilizing through the year and we should of course be cautious reading the quarterly numbers, quarter-on-quarter but rather see it over some more timely. Good, metal markets has an underlying EBIT of 87 million versus negative 39 in Q4. There was significant negative currency effects of 120 million in Q4, they are negative 30 million now so there is a difference of approximately 90 million on that. Looking behind that we then have an improvement in the operating result excluding this currency effects from 80 to 116 which is entirely due to better performance in the remelters and higher utilization, higher production in remelters. They are up 15% in production in the quarter. We believe in fairly stable volumes for the next quarter, we could see some pressure on margins for two reasons, we could see production premiums we see them coming somewhat down and we also see a tight scrap market in Europe due to curtailment of production so that could also influence the margins a little bit in the next quarter. Rolled products has an underlying EBIT of 151 million substantially up from the 86 we saw in last quarter, this is entirely due to volumes, higher volumes as Svein talked about and sales went down 6% in Q4 versus Q3 and then up again in the same range in this first quarter. And as Svein Richard also said, we saw a significant pick up in general engineering volumes which were hit significantly due to the restocking in the second half. So it is a key here in understanding a somewhat longer picture that 2011 was very tight and good in first half and there was really stepping up in the second half and we are assuming behind the growth numbers that we will see a more normal development throughout 2012 but of course our growth estimate of 3% is not at least exposed to what will actually happen in Europe going forward and we have so many insight into that on monthly basis but we don't have the longer perspective any better than the rest of you. So higher sales in Q2, simply because of the seasonality and this is how we see the order books and again here, margins could be somewhat under pressure but not anticipated to be significant. Exterior products significant negative impact on this business area from the very low southern European markets and development. We don't see any improvement that is in a way notable in the market. We see that our programs are gradually coming through and we expect a more clear trace of that going forward but we don't see improved markets as of yet. Result up by 114 million to slightly positive. Obviously not satisfactory but fortunately again back to positive numbers. Seasonally stronger first quarter is again the main reason for this result. That will also be the situation next quarter. Europe is the question mark. We see good prospects in Americas, but obviously our exposure there is less than to Europe and we continue our pogroms. I said 3.2 terawatt dollars of production in Q1 for energy. Very high and solid production which implies 0.5 terawatt dollars almost higher production at previous quarter and almost the same increase in external spot sales. That is the key reason for the improvement of 115 million in a quarter to a result of 556. And we have seen very volatile prices through the quarter. They came in low in the starch and then they sparked due to very cold weather and also some production issues on the continent and then have come down again. So the price picture for the quarter one is very much reflecting what we should expect namely high production as a negative correlation effect in the Nordic markets given lower prices. So in a historic perspective the prices we've seen in Q1 are low and we expect them to also be low in Q2 and because they are all still significant surplus water in the reservoirs healthy snow reservoirs, so we expect lower production (inaudible) but high in a seasonal context also in second quarter and we expect weaker prices and then historically speaking at a somewhat weak level. Net debt development is fairly stable quarter on quarter. We have all in all the same result at the end of the quarter as we came in with. We generated 0.6 billion from business and then we invested somewhat more predominantly in our upstream business. If we look at the financial position then, it is reflecting this and are very few changes except some should I call it translation effects due to the depreciating dollar, our translation of that dollar debt in Qatalum comes out a little bit less in Norwegian kroner than at the end of previous quarter.
Svein Richard Brandtzæg: So the priorities for you to going forward is of course to continue the $300 program to continue the books site and alumina program improvement programs both with we got to stabilize production and also reduce to costs and of course also to stabilize an further optimize Qatalum and not at least responding with appropriate measures downstream the depth of democratic situation extrusion in old products where we have programs along the value chain and then also improved the return in these assets. He too has a strong financial situation which I think is necessary in markets situation where they are raw material challenges. There are low margins, low prices of products and also low visibility. But we still keep a strong focus on capital discipline and also to keep strong focus on the cash flow and that's why we are also postponing the capital project. Thank you for your attention.
Unidentified Company Representative:  Okay, then we open for questions if there are any and you will get microphone I guess. Please introduce yourselves before you ask questions.
Unidentified Analyst: To get a better grasp over the upstream earnings, you are saying that the lower sale in alumina is affecting the results. The flip side is that you have higher sales produced from the cost houses in primary. To what extent does this effect if you try to, let's call it, and adjust that out of your quarterly figures? For instance in bauxite alumina you report a weak figure but low volumes. How would that effect if you normalize that sales level to the production level?
Svein Richard Brandtzæg:  Well, we are in a danger of not answering on what you are asking. First of all I think production levels in bauxite alumina has been, as we said on the same level as in Q4, more or less. So if you call it normalizing to sell what we sold last quarter or at least what we have produced and not less than that, then it has a notable impact on the results this quarter. But the key in this quarter is not production, it's not sales. Production has been okay. We need to lift production going forward. As we have said on the alumina and bauxite, but the key is not production levels. We are pleased with those. The key is not the sales levels because they will fluctuate around these levels on a continuous level, the key is the significant weakening in the prices and that is explaining entirely the result to development I would say.
Unidentified Analyst:  Okay, so but you are indicating at least there are some periodic effects in alumina but that is by and large net interest…
Svein Richard Brandtzæg: No I would say its notable enough for us to help you understand some of the movements in the numbers and since we are giving you both production and sales etcetera. But again, the key is here that on the technical and operational side, things have moved quite satisfactory to the quarter except from the incident in Qatar. But the (inaudible) started with, namely that the price level with the raw material squeeze is of such a burden right now that we see this significant downtick in earnings.
Unidentified Analyst:  Okay, thanks. And if I may follow up, cash costs at par, how do you change your guidance there or are you giving any new indications?
Svein Richard Brandtzæg: We have mentioned previously that we have not been to period where that's been additional efforts to ramp up the smelter and also to optimize the smelter. It is possible to take some numbers from what we have published already. You can calculate in fact the cash cost from there and you would see it's not far away from what we had communicated there previously as what we are aiming for.
Jørgen Arentz Rostrup: Can I add one explanation and one disclaimer to that? The explanation would be, remember to have a few on the raw material picture in that exercise but (inaudible) conclusion is what we believe there. And the disclaimer would be, as I said, then this is one quarter and less than work through some quarters. But we believe that we can confirm our previous guiding and that is the program we are working towards as of yet.
Unidentified Analyst:  And given the backdrop with the very low prices, low visibility and increasing raw material costs, do you expect any more announcements for the industry in general in terms of capacity adjustments?
Jørgen Arentz Rostrup: I already said that they are one million tons capacity that has been announced to be curtailed in smelting. I also said that we could expect that there will be some adaption to the situation also on alumina and we have heard some announcement that could be also volumes to be taken off the market according to the curtailment development. But it remains to be seen how much that will be really taken out on the smelting side on the alumina side. But there are several players now that are below water and it will be natural that we see some volumes to be taken out.
Svein Richard Brandtzæg: And maybe we should add that we are continuing to evaluate how we will handle our current expense story which is obviously the issue that we have closest on our desk.
Unidentified Company Representative:  Okay any more questions then? No. Then we'll round it off. Thank you all for coming.